Operator: Greetings. Welcome to The Trade Desk Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Chris Toth. You may begin.
Chris Toth: Thank you, operator. Hello and good afternoon to everyone. Welcome to The Trade Desk, fourth quarter 2023 earnings conference call. On the call today are Founder and CEO; Jeff Green and Chief Financial Officer, Laura Schenkein. Copy of our earnings press release can be found on our website at thetradedesk.com in the investor relations section. Before we begin, I would like to remind you that except for historical information, some of the discussion and our responses in Q&A may contain forward-looking statements which are dependent upon certain risks and uncertainties. These forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. Actual results may vary significantly and we expressly assume no obligations to update any of our forward-looking statements. Should any of our beliefs or assumptions prove to be incorrect, actual financial results could differ materially from our projections or those implied by these forward-looking statements. I encourage you to refer to the risk factors referenced in our press release and included in our most recent SEC filings. In addition to reporting our GAAP financial results, we present supplemental non-GAAP financial data. A reconciliation of the GAAP to non-GAAP measures can be found in our earnings press release. We believe that providing non-GAAP measures combined with our GAAP results provides a more meaningful representation of the company's operational performance. With that, I'll now turn the call over to Founder and CEO, Jeff Green. Jeff?
Jeffrey Green: Hello, and thank you everyone for joining us. Today, I'm really excited to discuss our strong finish to the year in Q4, reflect on the progress we made in 2023, and explain why I'm so confident about our growth prospects in 2024 and beyond. Total spend on our platform in 2023 was almost $10 billion, a record for us. Revenue in the fourth quarter topped $600 million. The first time we have ever crossed that mark in a single quarter. This record spend helped drive revenue growth of 23% for the year. Once again, significantly outpacing the broader digital advertising market. And of course, we had solid growth in an uncertain market of 2022, when many of our competitors were exiting the year comparatively flat. In fact, in Q4 of 2022, we grew by 24% year-over-year. So 23% growth in 2023 on top of very strong growth in 2022 is once again leading the market. We generated adjusted EBITDA of over $770 million in 2023. We also generated $543 million of free cash flow. This relentless focus on profitability and growth allows us to keep investing in innovation, ensuring we are always bringing the best possible value to our clients, whether it's our game-changing Kokai launch or new approaches to identity and authentication for the open internet. While there is much to celebrate about 2023, I'm even more excited about 2024 and beyond. I've never felt more confident heading into a new year. I believe we are uniquely positioned to grow and gain market share, not only in 2024 but well into the future, regardless of some of the pressures that our industry is facing, whether it's cookie deprecation, growing regulatory focus on walled gardens, or the rapidly changing TV landscape. These industry shifts represent tremendous growth opportunities for us. Shifts in our nearly $1 trillion global advertising market are not dissimilar from shifts in all large markets, including the equities markets. When macro changes come to the equities markets, caused by economic velocity changes, Fed moves, or governmental changes, these sorts of macro shifts force the smart money to rotate. Or said another way, macro changes almost always force a revaluing of the market. Every investment is scrutinized and adjusted. Similarly, the Internet is being revalued once again. We've seen this many times before. During the pandemic, people streamed more. We got more inventory and the value of choice in CTV helped create better performance, so the value of CTV went up. Things shifted. We saw it again in 2021 when the Apple made changes to limit relevant advertising in its operating system, which impacted their browser and their mobile environments. We simply adjusted and we bought two segments of the ecosystem with better price discovery and performance, which were still at times inside the Apple ecosystem, but often were not. Often people looking at our massive global industry continually overlook significantly different strengths, weaknesses and opportunities for different types of companies. Some wrongly think only big companies win, and smaller companies like us don't. That paradigm is completely wrong. In general, the current shifts will help companies with authenticated users and traffic, which also sit next to large amount of advertiser demand. These macro changes hurt those, especially content owners and publishers who don't have authentication. So this year, CTV and audio have big opportunities ahead, and the rest has pockets of winners and losers. But nearly everyone will be either better off or worse off. And I believe 2024 is a year of volatility for the global advertising market. And for those who are prepared, like The Trade Desk, it is an opportunity to win share. Our platform is set up to make the most of any signal that can help advertisers drive relevance and value. Our platform now sees about 15 million advertising impression opportunities per second. And we effectively stack rank all of those impressions better than anyone else in the world based on probability of performance to any given advertiser without the bias or conflict of interest that plague most walled gardens. With UID2, Kokai, and advances in AI in our platform, we now do this more effectively than ever before. And our work in areas such as CTV, retail data, and identity are helping build a new identity and authentication fabric for the open internet. So, regardless of how the environment evolves around us, we will always be able to help advertisers find the right impressions for them. A great example of this is the work that we're doing with HP. They initially started to think about new approaches to identity because of the imminent cookie deprecation in Chrome. But while the conversation started there, it quickly turned to how new identifiers, such as UID2, could help manage campaigns across all channels, especially channels with high levels of user authentication. HP started using UID2 for CTV campaigns on Disney and Hulu. Disney being a notable and early adopter of UID2. HP started with their first-party data that consumers had consented to provide after making a purchase. That data was then matched with UID2s on our platform. As a result, HP segmented its audience into specific groups, allowing better targeting and measurement of specific product campaigns with more accuracy. HP was then able to link ad exposure data from UID2 identifiers with the device registration data in its CDP to connect consumers with actual online conversions and sales. That measurement proved to be more effective than the multi-touch attribution model that HP had been using, according to Caitlin Nardi, their head of programmatic for North America. This is a great example of how we're improving advertising outcomes for a major global brand by integrating new approaches to identity, authenticated audiences in high growth channels such as CTV and retail sales conversion data. It all started with a conversation about cookie deprecation, but the answer was something much more advanced, which speaks to the way that most major advertisers are innovating with us. And it's why we're embedding these innovations into Kokai. As I've said before, walled gardens are not an optimal competitive environment for the open internet. And the open internet will continue to challenge the walled gardens as the place where the very first advertising dollar is spent. Because for the most part, premium content is outside of the walled gardens, and all the questionable user-generated content is inside of the walled gardens, from cat videos to political rants to hate speech to cyber bullying. Walled gardens simply use self-reported numbers in an increasingly opaque black box. Meanwhile, retail data and premium content are making the open internet more compelling than ever. I predict this trend will accelerate during this year, which, of course, is an election year. I think it's worth spending a bulk of my time unpacking the transitions we are seeing in the industry, as it will highlight why we continue to outperform and why I'm so confident about our growth potential moving forward. To do that, I'd like to cover three main areas. First, how advertising channels such as CTV, retail media, and even digital audio are helping replumb the internet from an advertising perspective. Second, what the future of relevance in advertising looks like as the identity landscape evolves. And third, why Kokai helps us advance our growth opportunity in the context of all of this. In order to understand some of the more interesting drivers of our business, I think it's important to note the macro environment we're dealing with. For nearly all of 2023, there was uncertainty, particularly around economic growth rates and recessionary fears. In that environment, CMOs become much more reliant on their CFOs, and CFOs needed to make sure that every dollar spent was in service of growth. Which means CMOs had to focus more than ever on where they could achieve efficacy and deliver strong and provable return on ad spent. That pressure came at the same time that many CTV content owners around the world were seeing how much more valuable ad viewing subscriptions were to them than the higher priced ad free subscribers. It is not a coincidence that our growth in 2023 was driven by ongoing strength in CTV and continued leadership through strong and expanding partnerships in retail and retail media. In each of these markets, advertisers can really put data to work and drive precision because they have a greater sense of confidence and who they are actually reaching. In CTV and other emerging channels such as digital audio, there's a logged in authenticated user base. In retail media, our platform works with actual authenticated sales data. CTV continues to be the fastest growing channel at scale for The Trade Desk. There's a ton of speculation right now about the future of the TV industry, but every major TV trend is good for us. Linear is shrinking and users are streaming instead. We have built our business around streaming premium content. Subscriptions are moving to ad-funded models and both consumers and content owners want that. As the industry oscillates back and forth from fragmentation to consolidation in all scenarios, we're partnering to provide demand from the biggest advertisers in the world. But one thing is clear through all of this, ad-supported streaming is going to be an essential strategy for any successful TV provider moving forward. Nearly every major streamer has stated that they make more money from their ad-supported tiers than from their subscription only and was reported pretty extensively in recent weeks with the price of subscription models continuing to rise, consumer fatigue is settling in. There's only so much disposable entertainment money to go around. According to the Wall Street Journal, 25% of US streaming subscribers have canceled at least three subscriptions over the last two years, up from 15% for their prior two-year period. In fact, by hiking the cost of the no ad subscription services, streamers are pushing viewers to the cheaper ad-supported options, because they are more lucrative. There is only one way for the CTV ecosystem to mature. Content owners in CTV and audio get good at presenting three clear choices to consumers. Pay for access to content by seeing a few relevant ads or pay more money to avoid them or some kind of hybrid of those two. Consumers will have choice and CTV and audio will find their coveted incremental users. Some want to pay with time and some want to pay with money. There's enough pressure to fund the CTV content machines that all of them have to get focused on a light ad load with high CPMs to create the best experiences for their users. While there is more than enough pressure on TV content owners to expand relevant ad programs, there is probably even more pressure on big players of audio. 2024 will be a big year for audio, depending on the strategic choices that those players make. Just like CTV, digital audio benefits from a highly authenticated, logged in audience. Also like CTV, digital audio listeners are highly leaned in. Advertisers have a captive audience that are engaged with quality, professional content. Whether it's a podcast or your favorite music, engagement is high. And we're spending more and more time with audio streaming leaders in part because I believe they are in the very early innings of seeing the value of data driven advertising and about to set out on the journey that CTV companies began years ago. Another area of strong growth for us in the fourth quarter was retail media. Again, a major reason for this is that advertisers got to work with their first party data. In this case, real world sales data. In the fourth quarter, we saw major new shopper marketing budgets shift to The Trade Desk as more advertisers started to move from a non-decision insertion order strategy, which has long been typical in the retail space, to one that's highly decision and leveraging retail media. A great example of an advertiser leaning into retail media is Samsung in Canada. A large percentage of Samsung's device and appliance sales take place through carriers and retailers. In order to understand how advertising is influencing consumer purchases in those channels, they needed a way to unlock their first-party data and combine it with retail data. Working with their agency, Starcom, we helped Samsung develop what they call the Samsung sales measurement tool on our platform. When buyers make a purchase, they are prompted to open an account with Samsung and opt in to marketing engagement. With the right permissions, Samsung can then look back through their marketing activations across masses of consumers and start to attribute campaign activities to different stages of the purchase funnel. This helps Samsung be much more precise with their campaign activities looking forward. Working with us, they can attribute the effectiveness of marketing directly on sales 19 times more effectively than they were previously. I spend time on these growth drivers not only to give you a sense of why I'm so confident in our prospects this year, but also to underscore how major advertisers are thinking about identity and authentication. Which brings me to my second point or second topic, the evolving world of identity. I don't think it's an understatement to say that there's considerable thrash in the industry driven by Google's recent decision to accelerate the deprecation of third party cookies. It had previously been scheduled to begin deprecation at the end of March of this year, but moved up to the beginning of the year in January. I just want to be clear on one point. For all of the industry debate that's been caused by these changes, The Trade Desk stands to benefit. As I said a few minutes ago, we see approximately 15 million ad impression opportunities every second on our platform. And the vast majority of the ad impressions that we value don't have anything to do with third party cookies. When you consider the fastest growing channels of digital advertising, such as CTV or digital audio, they've never relied on cookies. Retail data doesn't rely on cookies. What our clients care about is being able to reach their audiences with precision and relevance. And we help them do that using whatever signal is available to us. And increasingly, as I've just discussed, the post-cookie world is one that will combine authentication, new approaches to identity, first-party data activation, and advanced AI-driven relevance tools, all to create a new identity fabric for the internet that is so much more effective than cookies ever were. The internet is being replunged and our product offerings create the best outcome for all of the open internet. The offerings of the walled gardens often are good for them than no one else. Let's also remember that we've seen this movie before. Today, cookies have already been deprecated for around a third of all display impressions. Browsers such as Firefox and Safari made the transition several years ago. Neither of those shifts meaningfully affected our business. In fact, quite the opposite. We continue to innovate a full range of ways for our clients to understand the relevance value of every advertising impression and price them accordingly. In fact, the value we add to advertisers and agencies has gone up with all these changes. Those shifts make it important to consider buying different impressions. And so we do. We're constantly objectively helping buyers to know where to find value and performance. As the relative value of ad shifts to somewhere else, we shift too. One example of this is the work we're doing with Unilever in Thailand. They were looking to raise awareness for their new detergent product, as well as test new identifiers that could advance addressability in a post-cookie environment. Using their own first-party data as a seed, they leveraged UID2 to target relevant audiences and measured against Unilever's traditional audience targeting methods. The results showed a marked improvement over these traditional methods, which include cookies across key areas of measurement such as click-through rate, brand awareness, and cost per completed view. Interestingly, this work relied on UID2s created from encrypted phone numbers, which is a big part of the identity fabric in Asia. This UID2 work with Unilever is now expanding into additional markets in Southeast Asia. I know you're going to ask me specifically about Privacy Sandbox, because nearly everyone else does, so I'll touch on it here. I've written fairly extensively on it on our news platform, The Current, so you can see my thoughts there in more detail. But the [Cliffs Notes] (ph) version is that I believe Google has missed an opportunity to build something better. Increased complexity with decreased functionality is hardly a compelling offering. To publishers, they are effectively saying, do more work and make less money. I believe Privacy Sandbox is an incredibly complex product, understood fully by very few people, which will likely degrade the Chrome user experience for publishers and brands, but especially for users. Users personalization will break more often. Users will begin to be required to log in seemingly everywhere. Browser-based publishers, including mobile, will likely have to do what so many e-commerce sites already do. Ask for an email address when you arrive. The consumers will get a weaker experience for a while, and publishers will make less money until they change. However, this has less impact on advertisers, especially those with quality first-party data, and it is more likely to help The Trade Desk than it is to hurt us. For many reasons, we will be better off, but a few of those to include. First, we're on the buy side. We also represent the majority of Fortune 500 brands. We also invested in UID2 many years ago. We invested in AI many years ago. And our business is increasingly built around CTV audio and environments that are almost always authenticated. Fewer cookies doesn't really matter a ton for us. It doesn't stop our work because we've been busy with other open internet pioneers building something much better. Where there is real risk is on the publisher side of the ad ecosystem, especially browser-based publishers. Others have reported that declines in publisher CPMs in Chrome, where cookies have been deprecated, are around 30%. That's potentially devastating for publishers, of course. Not so much for advertisers who continue to have millions of choices a second on where to spend their ad dollars. But this threat to publishers comes as there are daily reports of journalism outlets laying off major swaths of their newsrooms amid a really tight business climate. While there may be many reasons for the struggles that journalism outlets are having, one of the dirty secrets of the industry is that, authentication rates there are surprisingly low. That means that they don't have any sense of who is visiting their destinations, and they've been reliant on cookies until now to create relevance for advertisers. Without either cookies or publisher authentication, advertisers won't value those ad impressions nearly as much. This is a wake-up call for publishers. And the math is obvious. $1 CPM turns into $0.70 with cookie deprecation. We're often seeing $1 CPM turn into a $1.30 when UID2 is layered on it. So when publishers get to consider the contrast of $1.30 versus $0.70, the math is more obvious than ever. In some cases, they only recently started looking at the math when the dollar suddenly turned into $0.70. So 2024 has started off as a year of action for our industry. On the positive side, we're seeing more publishers lean in to single sign-on authentication tools that they control. For example, we've seen a major uptick in publishers deploying Openpath. These include Snopes, OK Magazine, Radar Online, and many others. We expect many more to deploy this in the months ahead. Openpath lets publishers authenticate their regular visitors so they can help advertisers score the relevance of their ad impression. All of this taken together brings me to my third point, our new Kokai platform. Much of what I've been talking about today is embedded into Kokai. In particular, Kokai represents a completely new way to understand and score the relevance of every ad impression across all channels. It allows advertisers to use an audience first approach to their campaigns, targeting their audiences wherever they are on the open internet. Our AI optimizations, which are now distributed across the platform, help optimize every element of the ad purchase process. Kokai is now live and similar to Nxtwave and Solomar, it will scale over the next year. It's our largest platform overhaul in our company's history and I could not be more proud of the incredible work of our product and engineering teams. In Q4, me and our product team personally visited four continents and met with hundreds of clients in each location. Europe, North America, with large showings in New York City and Chicago, as well as in Asia and Australia. After spending half a day in each location with almost a thousand clients in total, almost every single one of our clients believe that Kokai is a major upgrade to our platform and to the ecosystem. We have never launched a product with this much change and we've never launched a product with this much confidence that what we have represents a major advance in advertiser performance and that it is going to be enthusiastically adopted. So let me wrap up. I've covered a lot of ground, but there's a lot going on in our industry. And I thought it was important to reiterate why I feel so confident about our position and our prospects. In closing, I'd like to just summarize a few key points. First, agencies and brands are becoming more deliberate with their campaign budgets. They are shifting ad dollars to where they can be more data driven and precise in everything they do. And this is driving them to sign JVPs with us at a record pace. Exiting last year, over a third of our business fell under a JVP. Second, we are reinforcing our position as the ad tech AI leader. We've been embedding AI into our platform since 2016. So it's nothing new to us. But now it's being distributed across our platform so our clients can make even better choices among the 15 million ad impression opportunities the second. And understand which of those ads are most relevant to their audience segments at any given time. Third, connected TV continues to be the fastest growing channel of our business at scale and the key driver of overall omnichannel growth. And it's not just here in the US. We're seeing strong CTV growth across EMEA and Asia as more CTV inventory comes online. CTV companies are driving a ton of innovation in our industry, particularly around identity. And it's no coincidence that they have been among the earliest and most enthusiastic adopters of UID2. Fourth, retail media has become one of the fastest growing areas of our business, and we expect this to continue in 2024. Retail partnerships and retail media is revolutionizing the way many advertisers think about connecting advertising to actual consumer actions. And more and more of the world's leading retailers are now active on our platform. Fifth, global expansion. We have made significant investments outside the US over the last few years in CTV and in retail media but also in our overall go-to-market strategy. Our business outside the US grew at a much faster pace than here in the US last year. We believe we are in a position to accelerate our international growth in many of the markets we serve. Sixth, we've seen a rapid uptick in adoption of UID2 and EUID as a new identity currency for the open Internet from advertisers, publishers, and everyone who serves them. But perhaps even more encouraging, we're seeing significant performance improvements for advertisers who are using UID2 and this is accelerating adoption. Seventh, of course, 2024 stands to be a major year for political spending here in the United States. Since 2016, The Trade Desk has been a vital platform for leading political advertisers. This year, we expect to gain more share in this segment, and we believe that political spend will increase as the year progresses. The Trade Desk is very well positioned as the advertising industry evolves. We built our business model on the belief that objectivity and aligning our interests with buyers would matter more and more over time. Objectivity matters more now than it ever has before. And that trend will continue as walled gardens continue to grow their conflict of interest faster than ever. We are executing well. We are poised for growth. 2023 was an excellent year. We expect 2024 to be even stronger. Now I'm going to turn the call over to Laura to discuss our financials.
Laura Schenkein: Thank you, Jeff. Before I go through the details of the quarter, I want to build on Jeff's sentiments regarding the strides we've made in 2023 and emphasize the consistency in our strong execution. Over the course of 2022 and 2023, The Trade Desk delivered revenue growth over 20% every quarter, against what many would say were a challenging two years for the digital advertising industry. Whether it's our work in areas such as CTV, retail data, our platform upgrading Kokai, AI advances in our platform, or helping build a new identity and authentication fabric for the open internet, The Trade Desk remains resilient and we continue to execute efficiently. Now onto our results. We ended the year with a strong Q4 and our teams have carried the momentum into the start of the year. Q4 revenue was $606 million, a 23% increase year-over-year. Excluding political election spend, which was a mid-single digit percent of revenue in Q4 2022. Revenue grew 27% year-over-year. I am particularly proud of the $284 million of adjusted EBITDA we generated during the quarter, representing a margin of 47%, which helped drive full year adjusted EBITDA margin to about 40% and full year free cash flow of over $540 million. Our results in both Q4 and for the full year 2023 were another example of our ability to grow our top line and gain share while simultaneously investing in our business and platform to support future growth. For 2023 we ended the year with $9.6 billion in spend on our platform and about $1.9 billion in revenue, representing 23% revenue growth. As expected, our take rate in 2023 once again remained within a very consistent historical range. We continue to execute on the model set out at the company's inception of keeping take rate consistent while substantially increasing the value that our platform provides. We remain focused on our proven strategy of being the default DSP for the open internet, only representing the buy side and avoiding conflicts too often prevalent in our industry. As we continue our progression towards a total addressable market that is on track to reach $1 trillion. The shift of advertising dollars from linear to connected television continue to be a core driver of our business. In Q4, CTV again represented our fastest growing channel at scale around the world, with particularly strong growth internationally. We saw strong momentum in retail media as we won incremental shopper marketing budgets and more advertisers continue to utilize retail data in their campaigns. And we continue to see positive results from increased utilization of first party data. As the enhancements we've made throughout the year are helping deliver better outcomes for advertisers. From a scale channel perspective in Q4, video, which includes CTV, represented a mid-40s percentage share of our business and continues to grow as a percentage of our mix. Mobile represented a high 30s percentage share of spend during the quarter. Display represented a low double digit percent share of our business and audio represented around 5%. Geographically, North America represented about 88% of spend and international represented about 12% of spend for the fourth quarter. It's worth noting, international growth again outpaced North America for the fourth quarter in a row. As I mentioned, CTV across international regions was particularly strong during the fourth quarter and throughout 2023. Turning now to expenses. Q4 operating expenses, excluding stock-based compensation, were $340 million, up 29% from a year ago. During the quarter, we continued to make investments in our team and platform, particularly in areas like sales and marketing and technology development, as we positioned the organization for long term growth. Income tax expense was $63 million in the fourth quarter, driven primarily by our profitability and non-deductible stock-based compensation. Adjusted net income for the quarter was $207 million, or $0.41 per fully diluted share. Net cash provided by operating activities was $91 million and free cash flow was 64 million in Q4. DSOs exiting Q4 were 101 days, down three days from a year ago. DPOs were 83 days, also down three days from a year ago. We ended the year with a strong cash and liquidity position. Our balance sheet had about $1.4 billion in cash equivalents and short-term investments at the end of the quarter. We have no debt on the balance sheet. Finally, we repurchased $220 million of our Class A common stock via our share repurchase program during Q4. As you have seen during our press release, today we announced new authorization under our share repurchase program of up to $700 million, which includes $53 million remaining in the existing authorization. Given the strength of our balance sheet, coupled with the consistent cash flow generation of our business model, we plan to continue opportunistically repurchasing shares and offsetting dilution from employee stock issuances. Now turning to our outlook for the first quarter. We continue to see strong spend in our key areas such as CTV and retail media. We estimate Q1 revenue to be at least $478 million, which would represent growth of 25% on a year-over-year basis. We estimate adjusted EBITDA to be approximately $130 million in Q1. In terms of our operating plan, we plan to continue to invest in our business and grow headcount efficiently. Similar to 2023, we expect to grow headcount at a rate slower than revenue growth. Considering our unique ability to generate both strong top line growth and profitability, we continue to manage the business with a balanced perspective that allows us to wait investment opportunities while retaining flexibility for margin improvement. In closing, I'm very pleased with our performance in 2023 and our setup in 2024. We are executing to capture growth within key secular drivers like CTV and shopper marketing. We're amassing industry support and partnerships for UID2 and OpenPass. Our international business is poised to continue helping drive our growth. We continue to gain share within the political vertical heading into the US presidential election cycle. We're adding more value for our customers with our biggest product release ever with Kokai and we continue to innovate our platform. We enter 2024 in a strong position to grow and gain more share. We remain optimistic about the prospects for our business this year and in the years to come. That concludes our prepared remarks. And with that, operator, let's open up the call for questions.
Operator: Thank you. [Operator Instructions] And the first question comes from Shyam Patil with SIG. Please proceed.
Shyam Patil: Hey, guys. Great job on the quarter and the results. I just had one question. Jeff, you talked about this a little bit in your prepared remarks and Laura did as well, but could you just talk maybe a little bit more detail about how you view the state of the digital ad market today relative to how it was when you last reported your competitive positioning and how investors should be thinking about your growth in 2024? Thank you.
Jeffrey Green: Absolutely. First, Shyam, thanks so much for the question. Second, before I just jump into the answer, I just want to give a shout out to Bryce, my Chief of Staff and his wife Julie who are listening to this call right now from the hospital where they're about to induce labor for their first child. Just wanted to say, thank you for listening, thanks for all you do and wish you the very best. With that, let me jump in to answer your question. So the current ad environment is really amazing for The Trade Desk because, first of all, it is a buyer's market. So our competitive position couldn't be better because, of course, we focus on the buy side. And our buy side, while we look at 15 million ad impression opportunities every second, we're also doing that with objectivity. So the fact that we don't own any media makes it so that we can objectively figure out what to buy. And when you couple that with our technology and our client service, both are the best they've ever been and I think are pretty consistently been credited as being the best in the space. That makes it possible for us to perform like we have, which is growing over 20% every quarter for the last eight quarters. I don't think there's any scaled ad funded company or walled garden, large or small, that can state that. And then, of course, we've got all these unique tailwinds that are helping the environment, they're also helping us. The first is that, of course, CTV, the shift continues to accelerate. And there's more and more going in to ads -- I'm sorry, into ad-funded TV, where subscribers that were focused, or streamers that were focused on subscriptions that did not have ads are for the first time ever adopting ads and they're adopting them more rapidly than ever before. And I anticipate that over the next year or two, we'll see that exact same phenomenon happen in the most premium parts of audio. Then simultaneously, we have what's going on in retail media, where spend growth is also really strong. And then of course, some of the macro trends that have been making it a little harder for things to grow outside the United States are better than they've ever been, making it easier for them to grow. And we're seeing some green shoots that we didn't before in many of the markets outside the United States. And then here in the US this year is an election year. So that also brings in more political spend. There's been a lot of discussion about cookie deprecation and the future of journalism as we've just seen lots of things happening in journalism that are negative, lots of layoffs, lots of journalists being laid off. But what that's driving people towards is a realization that there needs to be a consumer-friendly opt-in for authenticated traffic so that CPMs not just stay the same but even get better. And so we're seeing just these amazing tailwinds around UID2. And then we're launching or rolling out the most sophisticated product that we've ever built. I think it's the best upgrade that we've ever made to any product that we've ever built. And as a result, we expect a strong Q1 for the same reason that we outperformed the rest of the digital advertising space for the last eight quarters. So we feel like we're in an amazing position for 2024, and we expect to continue to grow and grab market share.
Chris Toth: Thanks, Shyam.
Operator: The next question comes from Youssef Squali with Truist Securities. Please proceed.
Youssef Squali: Awesome. Thank you for taking the questions and congrats on the solid print. So Jeff, just as a follow up to your ads funded TV commentary, how do you think about the impact of Amazon's ad supported prime video offering on the CTV market in general and Trade Desk’s growth in particular. There are fears out there that just a massive influx of CTV inventory at a lower CPM could depress CPMs across the segment without necessarily driving more demand. So just how do you think about that for the industry and for you guys in particular? Thank you.
Jeffrey Green: You bet. Thank you. So I don't think that the pool of inventory will be that massive. I do think it will be meaningful though and it will further the supply or expand the supply. But rather than that creating the huge imbalance, I do think it will just slightly tip the scale a bit more, and I would say in a way, it officially tips the scale to a buyer's market where supply does outweigh demand. But I think overall that's good for the ecosystem and it does create opportunity for us. That does mean that CTV companies will have to compete more intensely to win attention and subscribers. That does mean that their ad experience needs to be better. That means fewer ads and more relevant ads. The only way to do that is with programmatic. I believe that's part of the reason why every major streaming service that offers ads beyond their own sales team has adopted and announced partnership with UID2 and all of them are seeing higher CPMs as a result. So it does mean that the market is shaping in a way that gives more ads or more awards, more wins, if you will, to the companies that allow for UID2 to be used and allow for more relevant advertising. So to me, the way that this ends for every successful streamer is to basically run an auction that has identity attached to it, not so that they have to share any data about that impression or that user, but so that an advertiser can bring their own data about that user so that they can show a relevant ad and then the ad load can be lighter and more relevant and then that creates the optimal experience for the streaming service. I think this move by Amazon will move in that direction. What they're doing is not that unique in my view. Yes, they're adding a greater amount of inventory. But they also have a dilemma, which is that, unlike Netflix, who can raise their prices more regularly because it's attached to Amazon Prime, it makes it harder for them to do that, which means they've got to play with a different dial, which is the volume of ads. And as a result, we will see them affect in a way the more competitive nature of the landscape because they're affecting the overall supply. But again, I think that's good and accelerates the race. It will create a better experience for users and it more clearly defines what the competition is all about, which is them running an auction that includes our participation, because we largely represent the Fortune 500 and the most premium ads that you can bring into a quality streaming service. Thank you for the question.
Chris Toth: Thanks, Youssef
Operator: The next question comes from Shweta Khajuria from Evercore ISI. Please proceed.
Shweta Khajuria: Okay. Thanks a lot for taking my question. Jeff, could you please comment on just your view or revised views? There is one on cookie deprecation. We read your blog post on The Current on this a few weeks ago. Basically, there is a healthy level of debate on the impact cookie deprecation could have on Trade Desk, especially as the year goes through. Could you please help us think through the puts and takes of that and why Trade Desk may not be as impacted or how much it would be impacted? Thanks a lot.
Jeffrey Green: You bet. Thanks, Shweta. I appreciate the question. I was hoping we would get asked this question so that we could talk about the topic. And I know there's been so much written in our space and even in the general public about cookie deprecation, but also the product that Google has launched, Privacy Sandbox. Those two things are two separate things. I think it's important to talk about them differently, even though I believe they're doing them at the same time for a reason, they are in fact two different things. So cookies are being deprecated. That does mean that it makes it a little bit harder to create personalization if you do nothing. But as a result, everybody that touches that, some will be better off and some will be worse off. And that especially is a reference to publishers. So there are many publishers that have almost 100% authentication. So almost everyone in CTV has almost 100% authentication and they are not affected by cookies. So if you look at the 15 million ad opportunities every second, and you look at the way that the dollars are divided up, a substantial amount of the dollars and the impressions that we care the most about often come from premium channels like audio and CTV and those are almost always 100% authenticated. But then there's also millions that come from other channels that are also authenticated. So those two will get a premium and those prices are going to go up. And it becomes more important that every publisher have an authentication strategy and an identity strategy. And so, more and more publishers are talking about how they adopt UID2, how they adopt our single sign-on that we've launched publicly, although it's in closed beta right now, called OpenPass. But what happens at the end of this is, we've seen from those that have reported what happens when you remove cookies is that, their CPMs go down. We've heard numbers from 30% to 50%. So if you were getting $1 before, you're getting maybe $0.50, $0.60. If you look at the reports that we've shown on what happens if you use UID2, those go from a $1 to $1.30. So in a way, this is helping publishers to see the significance of both UID2, but also the need to change. Because on that small amount of traffic that Google has taken away cookies on, they see that deprecation. It's a lot easier to compare $0.60 to $1.30 or $1.40 than it is to compare $0.60 or $0.70 to $1. So that disparity makes it more likely that publishers will actually act on that. So from our standpoint though, and this is the part that I think often people get wrong, when you're looking at 15 million ad opportunities every second, and let's just say that we have identity just to keep numbers around half of it. And if that's going to go down by 10% ish, or 10% to 15%, which represents, let's just say the exact amount of our display business, which is where cookie come from. And if it's in that 10% to 15% range, but we have some forms of authentication on a significant portion of that, you're looking at like 8%, 9% that we wouldn't have access to anymore, maybe call it 10%. Okay, well then at that 15 million instead of looking at 7 million 7.5 million, we look at 6.5 million. What does that change about our overall business? Almost nothing. So I think many have not understood that this is affecting those in the ecosystem at very different rates. And really this is a revaluing of the internet and that some sites are becoming more valuable and some are becoming less valuable. And just like anything in equities markets, when you revalue it, the people who are in charge of assigning that value or doing the buying and selling, that's an opportunity for them to add value. And this for us is an opportunity for us to add value. We are helping our buyers figure out what to buy. And I would argue we're adding more value than we ever have as a result of it. And so as a result, this is very good for us. Thank you so much for the question.
Chris Toth: Thanks, Shweta.
Operator: Up next, we have Vasily Karasyov with Cannonball Research. Please proceed.
Vasily Karasyov: Thank you, good afternoon. Jeff, thank you for the helpful color on the cookie deprecation issue. In a related topic, can you set the record straight on Privacy Sandbox? What is your view and what is Trade Desk testing there? What does it even matter to you? Because there's been some discussion in the industry press. There is some confusion, I would say. Thank you so much.
Jeffrey Green: Thanks, Vasily. I appreciate the question. And as was mentioned previously, I have written fairly extensively on Privacy Sandbox on our news platform, The Current. So if anybody wants to read more details, there's also a great report by Bill Simmons, who was previously the CTO of DataZoo, which was acquired by Roku, who also had just a great POV on this, also on The Current. So as I mentioned before, there's two different things happening at roughly the same time. There is cookie deprecation, which is, Chrome is removing the use of third-party cookies, and they're doing that gradually. They introduced 1%, and that created a lot of discussion about it. But really, as an industry, so far, we -- beginning of the year, 35% of cookies were already gone because of Safari and Firefox, and now it's 36%, or something like that. So it wasn't a dramatic move, but the fear that it's going to go from 36% to 100% removal has lots of people concerned. I think it even has Google concerned who's doing this because they fear that they're taking something away and they're not replacing it with anything, Which gives their engineers a very difficult dilemma. What do we replace it with? So what they're proposing to replace it with is this product called Privacy Sandbox. Now it's a series of different APIs. There's actually more products than just Privacy Sandbox, but everyone in our industry just talks about that umbrella of APIs as Privacy Sandbox. I really believe that Google has missed an opportunity to build something better than this. They're increasing the complexity and they are deprecating at the same time. So I just, I don't think any good product ever deprecates an ecosystem and makes it more complicated at the same time. So I've been fairly critical of that. Some of us, some of our leaders, if we're going to test it, and some of our leaders have publicly said we're not going to test it. And then I publicly said we are going to test it. And the reason we're going to test it is, I just don't think you get to be a food critic if you're not willing to taste food. So yes, we've been fairly critical of it. And yes, I don't think it's a good product, but we have to try. And this may be the most iterated on product that I've ever seen from Google. So they keep changing it a lot. So it is actually hard to keep up with, but the broad strokes haven't changed a lot and the product is continually disappointed as you'll read from most op-eds outside of Google. Google says it's great, everyone else says it's not. I think it's incredibly complex. I think it's not fully understood by more than 10 people on the planet. It's really complicated. But it is not that hard to see that this is a deprecation to the internet. It is a deprecation to the Chrome user experience. And then, of course, there's lots of speculation about what Google's motives are in doing all these things at this exact moment when they're under a tremendous amount of pressure. But that's a totally different topic. But as far as our position on Privacy Sandbox, we don't think it's a good product, but we will test it, hope that it gets better. Would love for Google to innovate instead of deprecate. But in the event that they don't, it does give us a lot more traction around UID2, and The Trade Desk is going to be fine no matter what. So I'm only invested to the point that I deeply care about the open internet and would really like to see things like journalism thrive. And I am very concerned about the impact that cookies will have on things like journalism that are pretty dependent on browser-based traffic. So with that, I'll move on to the next question. Thank you for the question.
Chris Toth: Thanks, Vasily.
Operator: The next question comes from Dan Salmon with New Street Research. Please proceed.
Dan Salmon: Okay. Great. Thanks. Good afternoon, everybody. I've got two questions. Jeff, you mentioned your single sign-on initiative, OpenPass, in the press release and your prepared remarks for the first time in recent memory. Could you talk a little bit more about that initiative? It's important to your identity and authentication strategy? And even more specifically how it works together with UID2. And then the second, just maybe for Laura on this one, but also in the prepared remarks, Jeff mentioned that JVPs now represent one-third of your business. Can you give us any more detail on how that breaks down between agencies and direct client relationships? Thank you.
Jeffrey Green: You bet. So first let me take a minute to explain where we're at with OpenPass. So first, this is in a closed invite-only beta, and you're right, we haven't talked about it a lot. There have been a number of things where people are watching us closely lately and we've been scooped or people talk about it before we get a chance to talk about it. I think this was one of them. But let me explain what it is, first of all. So if you have ever used Shopify, I think that's the easiest way to understand it. I'm a big fan of Shopify, both the company and the product itself. The first time you use Shopify, you go through a checkout process that feels just like any ordinary checkout process, you actually don't even necessarily see the value. I actually think it was brilliant that Shopify, at least the way I experienced it, never took the time to explain what they were doing. I just experienced it. That was the fastest way to get people to adopt it was to get a few merchants to do it. And then where you really see the beauty of their signup process is the second time you go to a merchant and you see Shopify there, and then you see how much faster the checkout process is. And then if you're like me, you say, how did they do that? Where did they get the information? How is it secure? And then I'm literally putting together flow charts to understand how this worked and realize that both is faster and more secure than what I had before and it was just genius. It is kind of the opposite of what I was just criticizing in Google's product and Privacy Sandbox where it complicates and deprecates. This is something that makes it both easier and more secure. And when you get both of those things together, then it's amazing. So that's exactly what we're doing with the SSO, which is we are trying to make it easier for people to sign on to websites. So the most lightweight, it's not joined with an email service. We're not launching something like Gmail. But instead, we've created this product that is OpenPass. We have a few publishers that have signed up during this invite only beta. So of course, we run it on The Current, our own product, but also on Snopes and OK Magazine and Radar Online and a few early adopters who want to try this and the results have been really fantastic. And again, where you really see the benefit is when you go to a second or third or fourth site after you've been to that first one. So we recognize that the way to get this network effect is to partner with some of the biggest companies in the world that have sign-ons and also have a desire to make the ads on their site more relevant and more competitive with more bidders than just Google. And so, we think our value proposition is really compelling, and especially once you get that flywheel spinning, then it becomes almost financially irresponsible for people not to sign up in that we can bring them higher CPM. So we're very excited about the early results. We have some big ideas about how to rapidly create adoption. And we're excited about what that represents for things like journalism, if we can get this to the scale that we want it to be. Laura, the second part of the question is for you.
Laura Schenkein: Yeah, thanks, Dan. On the topic of JVPs, they absolutely continue to be a key driver of spend growth in our business. And as we noted, about a third of our spend was under a JVP exiting 2023. And we had, I believe exiting the year over 45 JVPs with a robust pipeline of additions to that. Those JVPs represent billions of dollars of future spend. And what gets me most excited about them is that, those JVPs are helping us get closer to our clients. And to your point, that's both brands and agencies who are signing up to do things that will drive incremental ROI for their marketing budgets. It can be anything from increasing data usage to adopting UID2 to focusing on decision [CTB] (ph) spend and I can go on and on. And the way that we look at those is that, they're effectively a win-win for The Trade Desk, they're a win-win for the agency and for the brand where they're structuring a framework that works best for their business. We don't actually break down the percent that's coming from the agency versus coming from the brand. And the main reason for that is that, even the JVPs that we're siding with our brands, we are talking to the agencies that are working hand in hand with the brand as we are structuring those JVPs. And our relationships with agencies has never been stronger. So we just constantly say, we're never losing sight of the key role that our agencies play in helping our brands execute their business. And for that reason, we don't really look at it as a breakdown, but more in terms of how can we get closer to all parties that are spending on our platform.
Chris Toth: Thanks, Dan.
Operator: Next question comes from Matthew Cost with Morgan Stanley. Please proceed.
Matthew Cost: Hi, everybody. Thanks for taking the questions. I have two. The first one is just on the conversation with advertisers. So at the time that you guided to the fourth quarter, I think you had seen at least in certain verticals some brand spend weakness through October and November, but obviously the quarter came in significantly ahead of your guidance at that time. So I guess how did the conversation evolve with advertisers? Where did you see them lean in, in ways that you didn't expect? And how has that trended through the beginning of 2024? And then the second question is just on the growth outside the US. I think there's a comment before about seeing green shoots there and continued faster growth than inside the US. I guess, are there specific ways that advertiser behavior or the inventory are changing that you would call out? Thank you.
Jeffrey Green: You bet. Thank you for the question. Just writing it down so I don't forget. So yes, in Q4 -- early in Q4, there was a little bit more, I would say, hesitation in the ecosystem, in the landscape, and I think that was not isolated to advertising. I think that was just macroeconomic angst, if you will. But of course, for the last few years, and I would just say that the angst in the CFO's office has been more closely connected to the angst in the CMO's office, really since the pandemic at a level that I haven't seen in my career. So I think there was some angst early on. And as the quarter went on, we saw some advertisers really lean in and some advertisers see some pressure. And even as we completed the quarter, it really is a tale of two cities where some companies are really driving for growth and spending aggressively to go get growth and some are watching every penny carefully and trying to be really deliberate. And that meant some spent more and some spent less. And in the end, we have an increase in spend, obviously, beyond what we guided. As it relates to outside the United States. I think a significant amount of this is caused by the same macro environment that we were just talking about. So as things change in the dollar and some of the macroeconomic policies of governments, I think that does make it easier for things outside the United States to do well. But there's also some trends in media consumption. So if you look at places like the UK or Germany, we see their CTV growth meaningfully higher than what we're experiencing in the US. And that's often because they're a year or two behind the US in terms of the competitive landscape forcing the change, the ad-funded models, and some of those types of things. But we're seeing the exact same trends play out. So in the same way that we saw those green shoots a couple years ago here in the United States, we're now starting to see them in more markets around the world and that's very good for us. So I would say it's those two things on the international or outside the US front. Thanks for the question.
Matthew Cost: Thank you.
Chris Toth: Thank you, Matt.
Operator: Next question comes from Matt Swanson with RBC Capital. Please proceed, Matt.
Matt Swanson: Thank you. I'll add my congratulations to you guys on the quarter and congratulations, Bryce, on his baby if you're still listening. So, Jeff, I think from the product event when we were talking about Kokai, one thing that was really intriguing to investors was this idea of being able to deliver attribution and KPIs and kind of segment it out throughout the funnel, right, not just give it all to the last click. It kind of sounded like the example you gave from Samsung. So when you've been out meeting with customers, can you just talk a little bit about like, what's exciting them the most about Kokai? What's driving adoption, and maybe how this new way of looking at attribution could kind of change spending patterns longer term?
Jeffrey Green: You bet. So, first of all, thank you for the question. And there's so many things to talk about in it because there's just so many things that are inside of Kokai. So, if you don't know, and obviously I know at RBC you know this, but maybe some others on the call don't. We went on what we call a world tour at the Q4 to go to four continents and talk to our customers around the world about the product that we're launching. Honestly, I did that out of concern in the sense that I know we are giving them more change than ever, but I am confident that this is an upgrade in almost every way to our platform. And I was concerned that the amount of change would make them afraid of adopting something new simply because of how much it changed, rather than really considering all the reasons why we did it. And so, we spent a half a day on four continents. We did I think three in the United States and LA and Chicago and New York and then we also did in London and we also did it in Singapore and also did in Australia. And the reception was phenomenal. It really put to bed any concerns that I had about reluctance for adoption. We explained the reasons why we were doing everything. A big part of what they love, to answer your question about what are they most excited about, is we have streamlined our reporting. We've made it way faster. There are some reports that you just have to wait multiple minutes for it because they're just so robust. And we found ways to accelerate that. We've also added AI throughout the platform, especially in forecasting. So it's a little bit like if you were to make a hypothetical trade in a trading platform for equity, and then I'll tell you what we think is going to happen to the price action in the next 10 minutes. So we're showing them what the effects of their changes are going to be before they even make them. So that they don't make mistakes. Because sometimes what happens is, people put out a campaign, they'll put tight restrictions on it, they'll hope that it spends and they come back a day or two or even three later and then realize they made it so difficult with their combination of targeting and pricing for us to buy anything that they didn't spend much money. Or the opposite, they spend more and it wasn't as effective as they wanted. So helping them see all of that before they do anything helps. And then we put data and decisions next to each other in a better way than we ever have before. But included in those decisions are upgrades to the attribution methodologies and reporting. So we are definitely trying to do a better job of attribution, while at the same time, not adding complexity. It's a very difficult thing to do in our space. It's hard. When you want to give people more power, give them the ability to do more, usually that means you hand them more complexity. And how can we give them more power and yet not increase the number of buttons exponentially, not increase the number of -- numbers on the screen exponentially. So we think we've threaded that needle and will continue to simplify, but those are the things that they're most excited about and that's part of the reason why I go into this earnings report with so much confidence is just spending so much time with our customers over the last four months.
Operator: The next question comes from Brian Pitts with BMO Capital Markets. Please proceed, Brian.
Tim O'Shea: Yes. Hey, it's Tim O'Shea on for Brian. Thanks for taking my question. Look, we've spoken about the impact of cookie deprecation, but what about timing and readiness? You work with so many advertisers, all the agencies. The question is, do you believe that advertisers are ready for Google to deprecate the remaining 99% of cookies in 2024? And if they aren't ready, what needs to be done? What is being done to prepare them? And then maybe just what happens to the ad market if Google decides to deprecate right before the holidays and the US presidential election? I'm curious, is there a pause? Is there a pullback? I know that Jeff spoke about what happened when Apple made similar policy changes in the past. Thank you for taking my question.
Jeffrey Green: You bet. I love this question. Thank you very much for asking it. So of course, the answer is some are, some aren't. So, who is ready for cookie deprecation? So, I believe here at The Trade Desk, we're in a phenomenal position. As a company, a big part of our technology stack centers around what we call an identity graph. And that is incredibly robust. And that is the result of our efforts. And you will recall, we've launched UID2 before the pandemic, we launched UID before that, and all of those efforts were seen around corners and we knew that this would happen. So we're confident that we're in a fantastic position. As it relates to advertisers, some are prepared and some are not. I would say the majority are not doing as much as they can. If I were to just paint a picture of the typical advertiser, they've adopted something like Snowflake. They have been trying to take their data from 20 different silos all over their organization and they're trying to figure out how to make certain that they're respecting their relationship with the consumer. And I do want to underline, I've never met a big brand that doesn't start every one of these discussions by saying, I want to be really careful about respecting the privacy of my consumer. They want a long-term relationship with them. They want to sell soap or cheeseburgers or pizza or whatever to them over and over again and so they want to be respectful. And as they're doing that, they're trying to figure out how to bring it all together and make certain that they keep it all safe. Many as they're doing that internally are saying, we know we have to put first-party data to work, but we have to really think about the implications of what they do. And many have started to do that, and many have not finished it. There's a lot of internal meetings that have to happen, and they all have to move more quickly. The thing that's been good about all the discussions today is, it's getting everybody to move a bit more quickly and say, hey, we have to act. And so, I think that's that is super healthy. But if I were to estimate, I would say most advertisers are not as ready as they could be, but the 25% that are, are going to benefit if Google were to go faster. The side of this that I'm really worried about though, is the publisher side. Again, we don't represent publishers directly. We represent the buy side. But of course, we buy from all these publishers and we want to see an open Internet thrive. But I would say that 90% of publishers that have a meaningful amount of their traffic from browsers are not prepared at all. And so you would see a rapid revaluing and you would see some struggle come as a result of Google accelerating cookies. It could have a meaningful impact on the election in the sense that if people can't advertise on those sites effectively, then the prices would go down. And then it would change the way that they either generate content or even their ability to afford to continue to generate content on those journalistic outlets. To me, they're the ones to watch most carefully because I think they're the ones that are often hurt the most, as we've just seen so many headlines in journalism of layoffs of late. And so I do think it's really prudent to be thinking about the pace that Google is going. I think they're trying to recognize all of these implications, and they don't want to have to testify before Congress in two years about what did you do to journalism or anything like that. So as a result, like them deprecating cookies 1% at this point is a good way to get people to act. And now the important thing is for advertisers and publishers to act. And I think that's going to give tons of additional momentum to things like UID2 and OpenPass. And that's one of the many reasons why I'm just so confident about our 2024.
Chris Toth: Thanks for the question. And John, can you close out the call, please? Thanks.
Operator: Absolutely. Thank you. This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.